Operator: Thank you for standing by. This is the conference operator. Welcome to the Finning International Inc. Fourth Quarter 2025 Investor Call and Webcast. [Operator Instructions] And the conference is being recorded. [Operator Instructions] I would now like to turn the conference over to David Primrose, Executive Vice President and Chief Financial Officer. Please go ahead.
David F. Primrose: Thank you, operator. Good morning, everyone, and welcome to Finning's Fourth Quarter Earnings Call. Joining me on today's call is Kevin Parkes, our President and CEO. Following our remarks, we will open the line to questions. This call is being webcast on the Investor Relations section of finning.com. We have also provided a set of slides on our website that we will reference and an audio file of this call and the accompanying slides will be archived. Before I turn it over to Kevin, I want to remind everyone that some of the statements provided during this call are forward-looking. Please refer to Slides 10 and 11 for important disclosures about forward-looking information as well as currency and specified financial measures, including non-GAAP financial measures. Please note that forward-looking information is subject to risks, uncertainties and other factors as discussed in our annual information form under Key Business Risks and in our MD&A under Risk Factors and Management and forward-looking information disclaimer. Please treat this information with caution as our actual results could differ materially from current expectations. In addition, unless otherwise noted, this presentation reflects the results of continuing operations only. Kevin, over to you.
Kevin Parkes: Thank you, Dave, and good morning, everyone. We appreciate you taking the time to join us on the call today. 2025 was another strong year for Finning. I am grateful for our team's hard work and their disciplined execution of our strategy. We are proud of our many accomplishments that we achieved together. We grew our business in all 3 regions. We built our backlog by 20% since the end of 2024 and simplified our operations to further focus on growth in our Caterpillar dealerships. This included restructuring areas of our back office and head office and completing the sale of 4Refuel. We continue to grow our product support revenues in a dynamic business environment, where we strive to control what we can, supporting our customers with their toughest challenges and earning their loyalty from them in the long term. Our earnings are more resilient, and our cost and capital position has significantly improved, fundamentally enhancing the long-term earnings capacity and return profile of our business in all market conditions. We continue to be well positioned to capture opportunities for further product support growth driven by equipment population growth and transformational growth in power, energy, rental and used equipment. As with last quarter, my prepared remarks will concentrate on the long term. I will also provide a brief update on our 2023 Investor Day objectives that we set out to achieve by the end of the year 2025. I'll then turn the call over to Dave, who will provide details on our results in the quarter. Starting on Slide 2. The strong momentum we developed in the first 9 months of the year continued through the balance of the year, with revenues up 7% to $10.6 billion in 2025. We also continued to building our backlog to a record $3.1 billion at the end of the year, while at the same time achieving record new equipment revenue. Our product support revenue continued its steady growth trajectory, up 8% in 2025 to almost $6 billion with strong activity levels in mining in Canada and South America growing at 10% and 5% year-over-year, respectively. Our strategy remains consistent. We are as focused as ever on growing rebuilds, contracted service, and we have recently launched a services commitment in Canada and improving our responsiveness and building loyalty. All of this means building our technician base where we added 225 new technicians across our region and expanded our workshop capacity to enable us to better serve our customers and capture growing product support opportunity. This is all, of course, enabled by enhanced digital and technology capabilities. We are very pleased with the resilience and growth of our earnings year-over-year. Adjusted earnings per share increased 14% in 2025 and our SG&A margin is now 15%. The lower fixed cost base of our business will continue to support a more resilient earnings profile in the future. Our consistent focus on invested capital velocity continued all year, with our invested capital balance ending the year, only slightly higher than the prior year, while growing our revenue by 7%. As we noted on our last call, we expected free cash flow to inflect positive in Q4, and we are pleased to have generated nearly $550 million of free cash flow during the year. From a sustainable growth perspective, we continue to see strong growth in our Power and Energy business as well as some recovery of rental activity in Canada. Our Power and Energy backlog at the end of December remains strong at $1 billion, up 25% from December 2024 and continues to reflect a diverse mix of prime power packages, oil and gas-related equipment orders and data center standby packages to be delivered through 2027. We are pleased to start to see the recovery in construction sector in Canada, with rental revenues up 9%. We believe this market remains attractive, and we are committed to enhancing our rental business in the long term. Turning to Slide 3. We are proud of the results we achieved by executing our strategy outlined at our Investor Day in 2023. As I mentioned earlier, product support revenues are nearing $6 billion from $5.2 billion on a trailing 12-month basis at the end of Q2 2023 just before our Investor Day. We have always remained constructive on our product support growth prospects despite some market dynamics that were out of our control, believe in, we have the opportunity to win share by supporting our customers to achieve their goals. Our consistent focus on providing customers with comprehensive maintenance, repair and rebuild options, coupled with a growing technician base has positioned us well to continue to grow this important segment. The recovery in product support in 2025 supports our conviction to continue to drive product support. From a full cycle resilience perspective, we are extremely pleased to have delivered all of our objectives. We moved our invested capital turns into our target range of 2.3 to 2.5x. We lowered SG&A margin to 15%, well below our target of 17% and successfully executed a number of capital optimization initiatives, which we previously highlighted when we announced the 4Refuel sale. In terms of sustainable growth, we have also made solid progress. We are participating more in the used equipment market with used equipment revenues up 31% since Investor Day. And our Power and Energy business continues to perform strongly with revenues up 41% since Q2 2023, and our backlog is up over 70%. The rental market opportunity remains large, and we will continue to invest carefully into this market as the outlook improves. All of our initiatives and results have driven returns to a higher and more sustainable level within our 18% to 25% adjusted return on invested capital target range in all quarters but one since the Investor Day. In 2026, we will continue to execute on our strategy that we outlined in our 2023 Investor Day, as there remains meaningful opportunity in each of our 3 strategic priorities. With that, I'll hand the call back to Dave, who will provide more detail on our results in the quarter and our outlook.
David F. Primrose: Thank you, Kevin. I'll now turn to Slide 4. Our Q4 revenue of $2.7 billion was up 6% compared to Q4 2024, higher across all regions, driven by strong performance in product support and new equipment. We are pleased with another quarter of consistent strategy execution alongside the positive business momentum with steady mining, improving construction and encouraging power and energy activities. Our fourth quarter earnings were adjusted for a $22 million write-off related to the decommissioning of certain technology assets as we evaluate the business needs of our operations and align with Caterpillar's digital and technology strategy and solutions. Excluding the write-off, adjusted EBIT was down 2% from Q4 '24. LTIP expense was $21 million this quarter or $0.12 per share of earnings, driven by the continued strong share price appreciation whereas in Q4 '24, LTIP was a recovery of $3 million or $0.02 of earnings per share benefit. Adjusted EPS of $1 was up 3% from Q4 '24 EPS, primarily reflecting higher earnings in Canada and the benefit of share repurchases throughout 2025. Meanwhile, our balance sheet remained healthy, and we continued to strengthen our financial position. We generated strong free cash flow of $642 million this quarter, and our net debt to adjusted EBITDA ratio was reduced to 1.2x compared to 1.7x at the end of 2024. Our working capital velocity also continued to improve. We thought our invested capital turns reached 2.34x, with an improvement in working capital balances. Our consolidated adjusted return on invested capital this quarter was 19.2%, up 130 basis points from Q4 last year, reflecting increased capital velocity and improved earnings. On Slide 5, we show changes in our revenue by line of business compared to Q4 '24 and the composition of our equipment backlog by market sector. New equipment sales were up 9%, driven by higher deliveries in construction and power and energy across all regions. Used equipment sales were down 23%. Q4 '24 had large conversions of mining rental equipment with purchase options in Canada that did not repeat this quarter. Product support revenue was up 8%, primarily driven by strong mining activity in Canada. Our equipment backlog reached a new record of $3.1 billion at the end of December, up 20% from last December and up 9% from September 2025, reflecting order intake outpacing delivery across all market sectors. Order intake continued to be strong in Canada this quarter, up nearly 50% from Q4 '24, driven by all market segments, particularly in mining. In Canada, we secured multiple large orders from key mining customers, and we currently have over 50 ultra-class trucks in addition to over 20 other large mining trucks in our backlog in Canada. In the Power and Energy sector, our backlog was supported by a large data center order from a customer in the U.K. and Ireland as well as multiple orders for gas compression equipment in Canada. Overall, our current backlog continues to provide confidence for our business in terms of activity levels and future product support opportunities. Turning to EBIT performance on Slide 6. Gross profit margin was down 70 basis points, primarily driven by lower product support margins. SG&A margin was down 10 basis points to 15.4% in the quarter, reflecting operating leverage offset by higher LTIP expense, which had approximately an 80 basis point impact on the Q4 2025 SG&A margin. Looking ahead, we will continue to seek opportunities to reduce overheads, improve efficiency and operating leverage and build more resilience to drive higher earnings capacity. Q4 adjusted EBIT margin was 10.4% in South America, 8.1% in Canada and 4.6% in the U.K. and Ireland. Moving to our South American results and outlook, which are summarized on Slide 7. In functional currency, new equipment sales were up 4% from Q4 last year driven by strong growth in the construction and power and energy sectors, partially offset by lower sales in the mining sector. Product support revenue was up 5%, driven by higher activities in the construction sector in Chile. Adjusted EBIT margin of 10.4% was down 50 basis points from Q4 '24, reflecting lower product support margins, partially offset by lower SG&A margin. Adjusted return on invested capital was 24.5%, down 140 basis points due to slightly lower trailing 12-month profitability. In Chile, our outlook for the longer term remains positive, underpinned by growing global demand for copper, strong copper prices and customer confidence to invest in brownfield and greenfield projects. We are seeing a broad-based level of quoting, tender and award activity for mining equipment, product support and technology solutions. However, in the near term, we expect some moderation in activity levels as customers adjust their mine plans and existing equipment fleets. We also continue to expect some challenges in the labor market as demand for skilled labor remains high. In the Chilean construction sector, we continue to see a healthy demand from large contractors supporting mining operations and we expect infrastructure construction activity to remain steady. In the power and energy sector, activity remains strong in the industrial and data center markets. In Argentina, we continue to closely monitor the government's rules and policies, and we are carefully positioning our business to capture growth opportunities, particularly in the oil and gas and mining sectors. We have recently seen an increase in quoting activity for equipment, and we expect activity levels to improve in the coming years, subject to an improving investment environment. Now turning to Canada on Slide 8. New equipment sales were up 2% from Q4 '24, primarily driven by stronger sales in the construction sector. Used equipment sales were down 42% due to large mining conversions of rental with purchase options in Q4 '24. Rental revenue was up 10% on improved market conditions. Product support revenue was up 12%, driven by strong demand from mining customers. Adjusted EBIT margin of 8.1% was up 60 basis points from Q4 '24, driven primarily by lower SG&A margin and a higher proportion of product support in the revenue mix. Adjusted return on invested capital from continuing operations of 18.2% improved 280 basis points, driven by both improved profitability and higher invested capital turns as we focused on working capital velocity through operational improvements. Our outlook for Western Canada is improving. We are encouraged by recent announcements regarding the potential to accelerate resource development and infrastructure project activity but we remain cautious with respect to the exact timing and magnitude. Construction sector activity in general is moderate, but is showing signs of improvement. We expect steady activity levels in our mining business as customers renew, maintain and rebuild aging equipment fleets. In the power and energy sector, activity remained steady in the oil and gas market, with longer-term potential in the data center market. And finally, we remain focused on managing costs and invested capital levels while driving productivity improvements. Please turn to Slide 9 for our results on the U.K. and Ireland. In functional currency, new equipment sales were up 21% from Q4 '24, primarily driven by strong power and energy project deliveries. Product support revenue was flat as lower machine utilization in the construction sector was offset by strong activity in power and energy. Adjusted EBIT margin of 4.6% was down 120 basis points from Q4 '24, primarily driven by the higher proportion of new equipment. Adjusted return on invested capital of 20.1% was up 510 basis points year-over-year, primarily reflecting the optimization of pension assets. In terms of outlook, we expect demand for new construction equipment in the U.K. and Ireland to remain soft, in line with the low projected GDP growth. We continue to expect a growing contribution from Power and Energy, driven by our strategic execution and healthy demand for both primary and backup power generation, particularly in the data center market. Our product support business is expected to remain stable. Before I turn it back to Kevin, I would like to provide a quick update on our 2026 capital expenditure plans. Following a slower-than-expected construction market in Canada in 2024 and '25, we expect to build our rental fleet to capture opportunities as the market improves and continue to thoughtfully execute our strategic pillar of sustainable growth. We also expect to make selected investments in our capacity and capabilities to drive operational improvement and efficiency including improving our warehouse operations in Edmonton, implementing case and workforce management in Canada, and focused investments in South America and the U.K. to better serve our customers. We expect our 2026 net capital and net rental fleet expenditures to be greater than $350 million. I will now turn it back to Kevin for some closing remarks.
Kevin Parkes: Thank you, Dave. We are really pleased with the continued execution by our teams in all regions, and we continue to build a more resilient and sustainably growing business that can produce strong returns in all market conditions. We're constructive on the long-term outlook in all of our markets. We're particularly pleased with the business in Canada, the core business strength led by mining, encouraging outlook for CI and exciting opportunities for core population growth in Power Systems. Our backlog has grown more than 2x since this time last year in all 3 segments. We delivered 95 new trucks over the last 2 years, and we have more than 50 in backlog. Chile is a more dynamic environment with lots going on. And given the growth we've seen over the past 2 years where we delivered 132 new trucks and we have 16 more in backlog, we do see a period of moderation as fleets get reorganized ahead of what we hope to be an encouraging second half of the decade as evidenced by the strong quoting outlook we have today. We're committed to our strategy, focused on growth, earnings expansion and a strong return on invested capital. This is evidenced by our performance in 2025 with 7% revenue growth, 8% product support growth, 14% EPS growth, all of that from our core dealership operations. With that, I'll hand you back to the operator for questions.
Operator: [Operator Instructions] The first question today comes from Krista Friesen with CIBC.
Krista Friesen: Maybe just to follow up on your last comment there about some of the softness in South America. Can you speak to how you're thinking about near term? Is that next couple of quarters? Or are you thinking over the next year or 2? And then additionally, how you think this impacts product support in the region?
Kevin Parkes: Yes. I mean I don't think we call it softness, Krista. There's still a lot of activity, but Chile copper mining production is growing. What we've seen is a period of real success in our business there and some substantial significant truck population deliveries. As I mentioned, 132 new trucks over the last 2 years. That's more than one a week. And we've seen those trucks be added to the fleet. And I think miners now, as they continue to strive for lowering the cost of production and productivity, they're putting those fleets to good use now, and there is some retirement of some of the older fleets now. Some of those are retired and stay in region. Some of those are retired and leave the region. And so that's the dynamism that we're referring to. We don't see any inherent, so there may be some changes to product support over the near-term as trucks get retired and the fleets get realigned. But the production outlook for Chile is still strong. And we do have 16 trucks in backlog that are going to be added to the fleet, added to the population this year. As I said previously, we have multiples of that backlog in the pipeline for good quality in activity, including in Argentina, which could be an offset to some of the Chilean dynamism as well. So I think that it's not softness in the market. It's just a reorganization of the fleets there. And we remain very confident that we've got a good population of trucks there. We also remain very focused as we did in the oil sands for the last couple of years on supporting our customers with their productivity and utilization efforts and ultimately lowering their cost to serve, which ultimately grows market share in the long term.
David F. Primrose: I would just add that Kevin said -- I mean, with the medium term, we're very bullish on South American copper, very positive outlook. Quoting activity remains very active in both Chile and now Argentina, but those cycle times can be longer for awards. And in the near term, like Kevin said, there's just some mine plan adjustments, fleet adjustments, but we're still going to deliver a number of new ultra-class trucks into Chile this year as well as very active tenders for future, including Argentina.
Krista Friesen: Appreciate the color there. Just a second one from me. Can you share if any conversations that you might be having at this point on being a prime power source provider for data centers in Alberta or Canada in general?
Kevin Parkes: Yes. I mean, we can't provide any specifics, Krista. But I can tell you, I actually had a meeting on Friday about this. And Alberta, I think they've had more than 20 gigawatts of power requests going into the power providers. And I think just over 1 gigawatts is being allocated so far. So the most encouraging part of that, as you mentioned, Krista, is the prime power opportunity. So it's kind of come to Alberta, build a data center, but bring your own power. And that being prime power is a fantastic opportunity for us. And if you look at some of the recent releases from Caterpillar, you've seen more evidence of natural gas prime power for data centers. Given Alberta has a plentiful supply of natural gas and a good pipeline network, we're really excited. I'm not saying we're encouraged. We're excited about that opportunity, particularly, as you mentioned, given its prime power. We're working on one specific opportunity at the moment, but it's too early to give any more details on that. But hopefully, you can tell in my voice that there's a level of excitement around that opportunity, particularly for our business in Alberta.
Operator: The next question comes from Cherilyn Radbourne with TD Securities.
Cherilyn Radbourne: It sounds like there's a lot of upside optionality in Argentina if things play out in a positive way. Can you talk about how you're positioning the company for those potential mining opportunities and when you think more of those might materialize as bookings and backlog?
Kevin Parkes: Yes, sure. Thanks, Cherilyn, it's a great question. And it's going to be a big effort from the team to get organized for what we do believe will be a substantial opportunity in Argentina. And we know that Argentina hasn't been the easiest country to operate in over the years. And so we remain really thoughtful about how we organize. So it's a real -- we're really optimistic about the opportunities. And some of those opportunities are really coming to life now. And -- but we remain thoughtful about investing behind the capabilities and capacities because we need to -- when you're running large fleets of mining trucks, you need capacity capabilities, you need inventory, you need technicians, trained technicians and management and supervision. But we don't want to get ahead of ourselves. So it is a tricky planning process, which I think is what you're referring to. But the team are all over it. I would say it's one of Juan Pablo, who runs our South American business. It's one of his top 3 priorities for this year, organizing an enablement in Argentina. And to the last part of your question, I'm really confident that you'll start to see some of that activity show up in our backlog and order intake through the course of this year.
Cherilyn Radbourne: Great. My second question is you've had 2 strong quarters of JV earnings from Pipeline International, which I assume is outside of Canada. So maybe you can give us some color on that? Based on what is developing in Canada, what do you think is the likelihood of a pipeline in Western Canada going forward or an incremental pipeline in Western Canada going forward?
Kevin Parkes: Yes. So I mean pipeline machinery is a fantastic JV that we're involved in. And the beauty of that business is that we are exposed to opportunities outside of our territory. And they extend to South America and the Middle East in some cases. And I would say, since I've been in Canada, I always look at the ratio of the revenues in that business and how they swing between the different geographic jurisdictions. And I would say that there's a renewed optimism in the U.S., as you would expect, from the new administration's focus on natural resources and oil and gas production. So that's why that business is seeing the permitting and licensing of those pipelines is way more proactive than it has been in the past. Some challenges still remain there, but that business is really optimistic. But I would say the opportunities in Canada are very healthy. So we see it through PLM, our pipeline business, but we also see it through our core business. And I would say we've had a really encouraging start here in Canada in our core business that -- fundamentally, a lot of that business is around energy infrastructure and pipelines. And so I think we'd be encouraged in both the U.S. and in Canada around pipelines. And as it relates to the big question around an incremental pipeline in Canada, it's not something that's in our immediate plans right now. And I think it takes a while to work through the system. I think we have -- my view is there's a lot of opportunity to grow. I don't think that the lack of that pipeline inhibits oil production growth in Canada and Alberta in the near term, but it certainly helps realize the full potential of the region for both the region and for Canada. And so we'd be a big supporter of that work. But like I say, I don't think that it will happen in the near term, and I don't think we need it in our near-term plans to grow. But accessing -- it feels like Canada is doing a great job to look to diversify its revenue streams from oil and gas. But we need infrastructure to be able to access those markets, which is the big question right now. And I guess the big debate between Alberta and Ottawa.
Operator: The next question comes from Sabahat Khan with RBC Capital Markets.
Sabahat Khan: Just, I guess, on the product support side, just a 2-part question there. There's a lot of installed fleet that went out into the market in the last 3, 4 years post the pandemic. Just want to understand where those machines are on the product support life cycle are you starting to see some initial work? And then there's also a push a few years ago to get a bit more into construction product support. Just want to get an update on where those efforts are.
Kevin Parkes: Yes. So I would say that the installed base, as I mentioned previously, nearly a truck a week in Canada for the last 2 years and more than a truck a week in South America over the last 2 years, but some of those were delivered last year. So in terms of -- we typically see a substantial parts of service increase as they hit their first components, which will be after 2 years. So I would say that we're probably running into some of those right now, but obviously, they're distributed over deliveries over the last 2 years. So I mean it's hard to pinpoint when you see that inflection point. And I wouldn't focus too much on that per se, more so that those trucks have been added to the population and they'll be there for a decade or more, right? And so that's the opportunity. And I would say in Canada, we are seeing that the trucks that are added in Canada, the majority of those are incremental trucks as haul distances increase, and we're still rebuilding the oldest truck. We will add our 500 truck to population at some point in this year, which we're really excited about. In South America, I think those trucks are a little -- they're on the same timeline, but remember, they're electric drive trucks, so less components. But again, there's 132 trucks in population, which we articulated at our Investor Day. And I would encourage you to think about not specifically what point in time they start producing product support. There's a certainty that they will produce product support, and we'll be right there to support our customers and capture it. In terms of CI, I think the effort has been there for 2, 3 years on CI, on construction, sorry, product support growth. The challenge we've had then more so is just the softness in the market. So I think we've been well organized and ready, and then we've built capabilities in that regard. We're adding a lot of technicians right now. The Canadian business is super focused on growing the labor force. And I mentioned the service commitment in my remarks. That's our commitment to grow labor. And so I would say we saw that kind of inflect in the post-summer last year. The comments will be a little easier for a while here, but I think we've got some real encouragement in construction product support. In Chile, it's been strong. We've grown double-digit for, I think, 6 years on the balance consecutively. So that strength has always been there in Chile, but it's a smaller part of the business, so you don't see it so much. And then similarly to Canada and the U.K., the softer market hasn't helped, but we see some encouragement there. We're probably slightly behind Canada in that inflection point.
Sabahat Khan: Great. And then just one follow-up on Argentina. It sounds like in the commentary, that is an emerging opportunity, obviously, a market that's evolving. Sort of how are you balancing positioning yourself and the CAP products to take advantage of the growing mining opportunity, but sort of keeping in mind just a volatile backdrop that's been in the market and just being careful of how that could evolve? Just additional color on that market, please.
Kevin Parkes: Is that for Argentina? Is that for that question?
Sabahat Khan: Yes, on Argentina, yes. Sorry, I missed.
Kevin Parkes: Yes. Like I said to, Cherilyn, similarly, I think we are acutely aware of some of the challenges in the past and the volatility. We are supporting major customers in the area, major international customers. We're obviously closer to the government and closer to the conversations. We're encouraged about the general Argentina outlook. And we can clearly see the investment through the RIGI process, people investing behind that. Our focus is to invest behind those and work hand-in-hand with those blue-chip international companies to make sure that we can demonstrate to them that when we're ready to go, we're ready, we're a good partner. We can provide the services that they require to be successful. And as I said to Cherilyn, we're -- that is gathering momentum right now. And I'd like to think that we'd have some encouraging updates through the course of this year.
David F. Primrose: I'll just add to that. We have existing facilities in the region. So most of the requirement for us will be investing in people and tooling on-site and things like that. And the other thing is we're working with large, global, sophisticated customers. So we're structuring those discussions that work well for both of us and reduce risk for both of us.
Operator: The next question comes from Devin Dodge with BMO Capital Markets.
Devin Dodge: So I want to start with a question on Chile. Look, the elections last year, I think they seem to go pretty much as expected. But just wondering if you see many puts and takes for your business, either from a commercial perspective or customers may be more or less willing to invest? And then on the labor side and if you expect changes in immigration policy to exacerbate some of the already job tightness down there?
Kevin Parkes: They are good questions, Devin, I would say. So let me try and answer each one of those. So in terms of the elections, they did go I guess, as expected as well as you can predict elections these days. But I'd say, they did go as expected. And generally, we would be encouraged by the direction of travel with the government and for business in general. And for mining production, you have to believe that it's a more constructive administration for resource development. So I think that's a big plus in terms of permitting and support for the mining industry. In terms of the puts and takes, it's too early to say. They're not even in the office yet. But you would say that coming to your third point around labor relations, you would expect that notwithstanding their commitments to strong immigration policies and lowering crime. They still need to support the -- one of the biggest drivers of their economy, which is copper mining. I would say there are 2 opportunities there. One is in the permitting and the support for expediting permitting processes. The second is having skilled labor and enough labor to execute on the programs. And the third is given companies like ours, good confidence and line of sight so we can invest behind that and make sure we're ready to go when the new mines or the brownfield expansions are permitted. So it's too early to say in terms of detailed puts and takes, but I would say it's an encouraging direction of trouble for the administration in Chile. There's encouraging sentiment from customers and from major producers, Codelco, for example, in terms of their outlook. And so we would hope that things will get a little easier in the country in terms of executing on these activities and major projects. And so I would hope that they will help with the challenges of labor in terms of both investing in growing labor but also helping with labor relations.
David F. Primrose: I think it's fair to say for both us and our customers in the region, Bolivia, Argentina, and Chile, it's all net positive is the sentiment, I would say.
Devin Dodge: Okay. Good color. Okay. Second question, just wondering if you can give an update on the rental business, specifically how utilization has trended across the various fleets? And are there -- there were some comments about rental CapEx stepping up in 2026. Just wondering if you could provide some color on which fleets are likely to see the most investments this year?
Kevin Parkes: Yes. Sure, Devin. And so just to start at the top of the that discussion. On rental, as you know, is a secular trend. You're seeing it all over the world, but specifically in North America. And we are committed to growing and investing behind that secular trend. And we've said that since the Investor Day, it was part of our sustainable growth strategy. The reason why we haven't necessarily invested behind it as much as we could have is because of the construction outlook. It just wasn't the market there to get excited about investing behind. We're seeing that pivot a little bit or inflect and we have a more encouraging outlook for this year in Canada. And so that's why you see a stronger investment profile, particularly in rental services, which is the smaller side of our business, the smaller machine side of the business. So particularly in that area, and there might be even a little bit of catch-up in there as the market inflects. Equally, we're excited about the opportunities within power rental in Canada and in the U.K. And so you'll see some more investment going into those areas. The most important thing to mention is that it will still remain to be a very thoughtful approach. We have a super robust review and approval process. So we'll invest with the market and beyond the market to a certain degree where we're confident our capabilities can win market share. But we've got a very thoughtful process, and we'll walk through that as we walk through the year and make sure that we're not getting ahead of ourselves, but we are ambitious in terms of growing market share. And rental revenues were up 9% in Canada last year. Utilization is healthy and we're more optimistic about that this year and even last year.
Operator: [Operator Instructions] The next question comes from Maxim Sytchev with National Bank Financial.
Maxim Sytchev: I was wondering if it's possible to get a bit more color on product support. And I guess if you can segregate the velocity between kind of parts, labor rates and rebuild penetration? What's kind of happening in these different buckets?
Kevin Parkes: Yes, sure. So it's a good question. So product support growth in Canada, specifically, is being driven by the mining sector, more than construction. Power is healthy, but there was a softness towards the end of the year with some of the lower gas oil and gas pricing. But we've seen that start in a pretty encouraging way this year. As I mentioned previously, I mean, to Saba, the construction market has inflected in the fall last year. And so we'd be more encouraged about the construction outlook there. I just go around the regions first, and then I'll talk about the segments. And then in South America, product support is robust. It's not -- wouldn't be growing as fast as it is in Canada right now, but it's the biggest part of our business. But the construction product support has been growing for 6 years consecutively, as I mentioned previously. And the power installed base is very small down there, but it's -- the product support growth rates for power are encouraging, and they're almost like a bonus for that part of the region. And then in the U.K., most of the growth last year was driven by power population that we've built over a number of years, encouraging product support growth in the oil and gas sector actually in the U.K. And then construction, as we mentioned, that's been softer with the softer market. We've got -- we're hopeful that, that will return to growth and be more positive this year. In terms of the key aspects of product support growth, population is the biggest driver, and we continue to see that and the 3.5 -- sorry, the $3.1 billion backlog is evidence that's one of the best leading indicators to future population growth. So I would say that's the key driver. So we got population and then we go utilization, and we're seeing utilization of equipment, particularly in mining, improve, but also in construction. Utilization is different in power because it can be prime power and it's very highly utilized. And then -- but obviously, in data -- in backup power, less so. And then penetration, we continue to focus on penetration, rebuilds being the biggest driver. And I would say our rebuild performance is sustained, and it's demonstrably better than it was pre-pandemic. Our CVA population or contracted service business continues to grow. And particularly in Canada, we have a big opportunity to increase the labor proportion of the service contracted business. So that's exciting. And I think the final one, Max, is just the number of technicians. So we added over 200 technicians last year across the 3 different regions. And we have plans to continue to do that to continue that. We're adding a technician a week in Canada right now, which is, a, encouraging. It's a good indication of the market segment, but it's also a positive statement of intent from the Canadian business in terms of their participation in the labor market. But I would say that -- I would say parts has increased faster than labor, but we're committed to that labor proportion as well. We think it's one of our key differentiators in the market. And attracting technicians in Canada right now, I'm super encouraged about our ability to attract technicians in this marketplace.
David F. Primrose: What I would add, Max, is your rebuilds -- Kevin said rebuilds remain very stable. But in mining, in particular, we're seeing very strong product support growth over and above the stable level of rebuilds that we're doing.
Maxim Sytchev: Okay. No, that's great to hear. And sorry, just maybe, David, one quick question for you. Given the fact that obviously, top line is growing nicely, et cetera, how should we be thinking about the working capital consumption in 2026?
David F. Primrose: Yes. I think you saw that last year, we're willing and wanting to invest in that growth, and we'll continue to do that. There's always some seasonality through the year on construction season and then also -- mining can be very lumpy. But we do feel confident about further growth, and we will make sure we're invested and ready for that.
Kevin Parkes: Well, ultimately, Max, that we're committed to our ROIC range that we put out in the Investor Day. And we need to invest behind the growth. And so, as you can invested capital went up slightly, but turns are now into that Investor Day target range of more than 2.3. And that then obviously supports the return on invested capital, and that's the backstop that we talk about all the time at Finning. When we look through the growth opportunities and the opportunity to invest behind the growth, we are always committed to that return on invested capital range. And we examine all opportunities thoroughly when they come across the table.
Operator: The next question comes from Carol Adu-Bobie with Scotiabank.
Carol Adu-Bobie: This is Carol on for Jonathan Goldman at Scotiabank. And on construction in Canada, you've mentioned several times that you've reached an inflection point. Can you talk about the signs that you're seeing that could potentially drive this higher activity?
Kevin Parkes: Yes. I think -- I mean, the primary one, Carol, is order intake. And so when we see customers placing orders, I mean, it's not like mining where they've got long-term plans. They're really investing behind, particularly in Canada, seasonal construction outlook. So when we see your order intake improve through Q4, and then actually, I'm pretty encouraged about the order intake that's, as we've carried into the new year. That's the primary driver of construction activity that we see. And then as I mentioned to Max previously, I mean, the more population we have in the field with service contracts, that gives us line of sight to the population we need to drive product support. So I would say that the best indicator we have for construction activity right now is order intake. I would say, and it would be remiss of me not to say this and to congratulate the team in construction that we are really pleased with what we believe is a very healthy market share gains within 2025. And as I said previously, so it's not just the market as well. It's a very determined approach to market share growth, and I think we've seen that carry on into this year.
Carol Adu-Bobie: And could you also provide some color on order intake trend in the Power Systems segment?
Kevin Parkes: Yes, sure. So we've seen -- we're really encouraged about -- like we're more than encouraged to talk about excitement in the Power Systems sector. So in terms of in power and energy, the order intake in Q4 last year was nearly double in Canada, and it was double in the U.K. And Chile is a much smaller part of the business, but we're -- I say it's lumpier in Chile, but we've had a really good run in Chile and it's additive to the business in Chile. But yes, order intake in Q4 in Canada and in the U.K., which is our primary power businesses, was more than double it was in the same quarter in 2024.
Carol Adu-Bobie: I appreciate the color. And if I could just squeeze in one more. We saw a very strong working capital performance this quarter. Could you remind us of your capital allocation priorities given leverage is at all-time lows?
David F. Primrose: Sure. I'll touch on that. I mean returning capital to shareholders is important, and we've been consistently doing that for many, many years now, buybacks and dividends. We have the NCIB in place. We've been buying back shares. We think there's volume being consistent in our approach. But the process of capital allocation, it's always dynamic. We look at that all the time. And key factors being near-term free cash flow expectations, capital spending and inventory purchases is given the significant growth opportunities that we've got ahead of us. And potential M&A and customer activity levels. So I mean, it can be quite -- invested capital demand is going to be quite seasonal through the year. But overall, if I come back to it, again, we strongly believe in returning that capital to shareholders and being consistent in our approach.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Primrose for any closing remarks.
David F. Primrose: Thank you, operator, and that concludes our call today. I want to thank all of you for your participation, and have a fantastic day. Thank you.
Operator: This brings an end to today's conference call. You may now disconnect your lines. Thank you for participating, and have a pleasant day.